Britt Meelby Jensen: So good morning, everyone. Very nice to have you on this call this morning for Ambu's Q4 and Full Year Results as well as our Strategy Update. I'm Britt Meelby Jensen, the CEO of Ambu. And this morning I'm here with Thomas Frederik Schmidt, our Chief Financial Officer; and Bassel Rifai, our Chief Marketing Officer. So we will in the agenda today, first go through our financial results and key events from the year that we have just closed. After that we'll provide an update on our strategy and we'll finish the call with a Q&A session. So looking back at the past year it has been an eventful year for Ambu. Our two main new products Cystoscope and our RhinoLaryngo have had a very good year selling over 700,000 scopes in the year. Also we have had two major launches towards the end of last fiscal year; the aScope 5 Bronchoscope and our Gastroscope, which I'll come back and provide an update on later today. Also during the year we have expanded our production capacity opening our largest and most modern factory to-date in Mexico, which is close to our largest market the US and will provide products to that market and others in the years to come. It's also very clear that our financial performance this year did not live up to the expectations we set going into the year. So we had a management change during the year. As new management we came in and did a cost reduction where we unfortunately had to say goodbye to a number of employees. And we have also initiated a number of other improvement projects with the clear aim to improve our growth and profitability. If we look at the year and the fact that we have delivered this in a volatile environment, I'm extremely proud of what we have been successful with as a company. And I would like to thank all our employees for their strong work. But with the challenges we have had we have also had a lot of great learnings and I would actually like to highlight four of the learnings that sets us up for a very strong future going into the fiscal year 2022-2023. But before coming back to that let me start with the revenue. So we grew by 4% in this fiscal year and organically -- and if we look at the reported growth that came in at 11%. Our EBIT margin was 2.7%. And if we look at the last year it was 8.5%. So these results should be seen in an environment with high volatility. We have had inflation -- or we do have inflation. We have had challenges in China with COVID and also with global supply chain all of that which hits our manufacturing and distribution costs. Now let me move in to talk about the different Visualization segments. Starting with Pulmonology. And here I would like to provide some transparency into what has happened in the past couple of years. This is our most important and largest Visualization segment. And it's also a segment where we are starting to see things normalizing coming out of COVID. So as you can see on the graph here the volatility we had meant that when COVID broke out we had very high demand for our bronchoscopes to treat COVID patients which led to a high increase in demand. Then we had a couple of waves that led to fluctuations. And looking back at the past year, we saw a decline mainly driven by three things: high COVID comparables, high in-market inventories and also we started to see competition. Overall in the past three years we have had a CAGR of 16% and in total we have grown 58%. As you see in the last quarter we had a 6% organic growth over the previous quarter. But going into the next fiscal year as the last part of this graph illustrates we will for the first part of the year be up against high comparables which will also mean that we can expect modest growth in the beginning of the year. Now turning to our two newer segments that we entered a couple of years ago. Here we continue to see impressive growth. and we have had above 100% revenue growth combined in these two areas. And if we look at the cystoscope alone, we have sold over 400,000 scopes during the year. Given that these are segments that we entered two to three years ago, we have seen a rapid adoption in these two segments, driven very much by the efficiency that we provide to hospitals in terms of their workflow and their ability to plan their work better. We continue to have high expectations to this segment, as we continue to see growth in the recent quarters as well. So let me move to the big launches that we had earlier this year. We launched aScope 5 Broncho towards the end of the year. It was approved in EU and US over the summer. And by launching this product, we are actually expanding the market -- the total addressable market by DKK 2 million, because this product is able to also address the needs in the bronchoscopy suite, which no single use in endoscope has done to-date. It's still early days, but we get a lot of good feedback. And as you can see on the quote on the screen here, Professor Kerman concludes in a recent study that he did that actually we -- the performance of aScope 5 Broncho was either superior or equivalent to reducible scopes in most categories. So, really putting the single-use endoscopes in a different league, which we are very proud of. This new innovation also means that we will launch the product at a price premium to the aScope 4 of between 30% to 50%. So, overall, there's a lot to be excited about when we look into the pulmonary segment. This launch is the first step to strengthen our position, but we will have the Video Laryngoscope 2.0 as well as the relaunch of the VivaSight coming, which will help to further strengthen our position in this segment. So let me finish the full year announcement with the -- sorry, with the gastro -- GI market and the GI focus. aScope Duodeno is a product that we launched and where we continue to see a high market need in this segment. What we have also seen in the year that we just came out of is that these procedures the ERCP procedures are procedures that are clinically complex and we experienced that there continues to be some product gaps with our product to fully penetrate this broad market. They seem to be very well adopted in some niches of this market and what these learnings means is that we take a slightly different approach, which we'll come back to. We have worked with customers. We are now far in the development of an updated version of the Duodeno 2.0 which significantly better addresses the needs of the product, more to come on that. When we then turn to aScope, the gastroscope, it's a completely different story. It's a very different product. The commercial launch started early summer in the US and a bit later in Europe and the initial product feedback we get is very positive. You can see two quotes on this slide, one addressing how we are helping the customers with their more efficient workflow and procedures in the hospitals, and the other one around our product features where in particular they highlight the strong maneuverability with our gastroscope, which is a very important feature when they're performing their procedures. So in all this is a product where we start in a niche segment and where we will gradually expand as we get more traction and experience, and I'm very excited about the early feedback we have with this product and look forward to update you on an ongoing basis. So with this, I'd like to hand over to Thomas to go through the financials.
Thomas Schmidt : Thank you, Britt, and also a warm welcome from my side. Let me start with a few short comments on the initiatives that we have initiated a few months ago. The cost reduction program, the change in pricing practices and the strategic initiatives to further improve our financial performance. We've been fast to conclude and realize on the cost reduction program. And the cost relating to the program has been captured in the Q4 and the full year results, while the benefits will start to materialize -- and fully materialize in the new financial year 2022 to 2023. The initiatives will strengthen our financial performance and together with the updated strategy. They form important building blocks to secure long-term financial success for Ambu. In the strategy update later, we will address how we execute on those initiatives in more detail. For the financial year 2021, 2022 our reported revenue growth is 11% corresponding to a 4% organic growth and a positive currency impact of 7%, primarily driven by the strengthening of the U.S. dollar versus the Danish krone. Looking into our business areas, the combined businesses of ENT and Urology have posted very strong sales inside the segment or business area of Visualization with more than 100% growth for the year. The growth however has been offset by a decline in pulmonology which means that the Visualization segment and business growth for the year one percentage point. Our Anaesthesia and Patient Monitoring & Diagnostics businesses were for the year positively impacted by increasing pent-up demand and from the recovery post-COVID and the continued reduction of our backlog orders. In terms of organic growth, Anaesthesia has posted 5% growth and Patient Monitoring & Diagnostics have posted 13% growth. From a geographical perspective, it's been a year with strong differences and significant differences across the regions. North America was a strong growth driver with 11% growth driven by Visualization. Europe, reported 1% growth driven by high Anaesthesia and PMD growth and rest of the world had a negative growth of 8%, mainly due to in-market inventories that was brought down and COVID-related lockdowns in China. Our EBIT margin ended at 2.7% for the full year. The low EBIT margin is driven by a decline in our gross margin, where the main reasons have been change in sales mix, higher input prices and distribution costs due to the high inflation and high freight rates ramp-up cost related to our Mexican production site and inventory write-down of our VivaSight 2 aScope due to our voluntary recall in May. We ended the year with a negative cash flow of DKK458 million and a gearing ratio of DKK3.9 million. Whilst, our gearing is fully within our covenants and our plans, it's clear that both our profits and also our cash flow needs to improve. And cash flow improvements will be realized through revenue growth, through our cost reduction program as mentioned and through reduced investments into CapEx, while we at the same time still invest into innovation and improvement in our working capital with significant reductions in our inventories. And this brings me to the financial guidance for the financial year 2022 to 2023. And we'll be guiding on two elements. Organic revenue growth and EBIT margin before special items. It's important to stress that 2022 and 2023 is a transition year for Ambu. And at the same time we will see high external volatility. The combination means that creates a financial guidance that is associated with more uncertainty than usual. Our guidance for organic revenue growth is 5% to 8%. We see highest growth in our endoscopy solutions formerly referred to as Visualization, driven by continued growth in ENT and cystoscopy. Pulmonology, will grow year-over-year in half year two as first half year will still have high comparables from Omicron sales last year. Anaesthesia and Patient Monitoring will see low single-digit growth. And growth will accelerate quarter-over-quarter with Q1, however, expected to be flat versus Q1 last year. Our guidance for the EBIT margin before special items is 3% to 5% of revenue. And a few comments of some of the underlying drivers. Our gross margin is expected to decline by approximately 2% due to higher input costs, further Mexico ramp-up costs, product mix, and lower margins for recently launched scopes. This is a result of past decisions and certainly something that we are determined to improve. Improvements in our EBIT margin will be more prominent in the second half year as we will grow revenue quarter-over-quarter as mentioned. Cash flow is a key focus and we expect to improve cash flow by DKK350 million to DKK450 million. And thus for the full year, we will be approaching cash flow neutral levels. Improvements will happen gradually quarter-over-quarter with negative cash flow expected in Q1 and Q2. Last but not least, our CapEx investment is expected to be approximately 9% of total revenue reduced from last year, but still with a sizable investment in innovation. And with that, I hand it back to you Britt to give an update to our strategic update.
Britt Meelby Jensen: Thank you Thomas. And now to our strategy update. So Thomas and I joined Ambu before the summer. And together with the rest of the management team, we started taking a hard look at what needs to be done at Ambu. As you know our first decision was to do a cost reduction to strengthen our financial position and cash flow. But what we also did was that we started to look at our strategy. And I went out to meet a lot of colleagues, a lot of customers to really get an in-depth understanding of our business. Today, we will share the conclusions of that strategy review that we have done in management. It builds on a strong legacy, a strong heritage that Ambu has and this is also why I'd like to start with this slide. Holger Hesse, who founded Ambu 85 years ago and who today could have celebrated his 122 years birthday. He was very eager to bring people together and to engage with customers to develop solutions to their problems. And this is also why it makes so much sense for us with the purpose that we have of together, we rethink solutions to save lives and improve patient care. So taking a quick look back at Ambu. We have actually been quite successful. And if we look at the past five years, we have seen a growth of 85% in the business overall. This is coming from success in many areas. We have had a strong penetration with our single-use bronchoscope and has now built that market with a very strong leadership. We have entered three new segments; ENT, urology and latest GI with multiple scopes building on a strong modular approach where we have synergies across the portfolio. This is built by a strong innovation where we have deep understanding of technology, mechanics and software that you need to build the best single-use endoscopes. We have also had success in Anaesthesia and PMD. We have spent a lot of time and resources to make sure that we were compliant with the new EU regulation and we have fully achieved that. We have strengthened our supply chain with our Mexican factory. In terms of our commercialization in 2019, we went fully direct in the US with our own sales force. And then we have overall expanded our sales force and strengthened our reach to customers. I'm very proud of, what we have achieved together in the organization, but it has not been easy, but we have learned a lot, which also sets us up nicely for the future and some of these learnings that we have brought into the strategy work that we have been doing. And I'd like to highlight, four learnings that we have had. The first learning was that, a market like the GI market does not develop very fast. We have learned that and our competitors have learned that. What we have also learned is that we need to fully understand the customer insights, which are very different from the segments that we operate in. And then, we need to adjust our approach to that. Secondly, we have also learned that we should not initiate too many projects at the same time. The markets in our industry does not develop as fast, as we anticipate it. And when you try to do too much, you lack the clear direction and it creates inefficiencies. Thirdly, we were first mover in the single-use area with the bronchoscopes. But as we entered into a new market, the GI market, it attracts competition in the first market that we entered the bronchoscope market and we need to continue within our main segments to stay on our toes and fully focused, which we did not do. The final point is about trust, trust and building credibility. This is something that you earn by proving that you can deliver on the commitments that you set out. We did not fully do that and looking ahead with our strategy, we remain ambitious, but we also want to make sure that we build credibility to deliver on the targets that we set out to deliver on. So all of these are great learnings, that we take forward as a company as we enter the next chapter in our journey. So let's look at the attractive market, that we operate in with our endoscopy solutions and how we penetrate that. So in our priority markets, there are around 100 million procedures done every year with endoscopes. And if we look outside that including the full global market, it's more around 150 million to 200 million. However, there's -- and there is a general consensus that this market will continue to grow. However, it is not this full market that we see being addressable today, with the products that we have in the market and with our immediate portfolio. But it doesn't mean that there's not a great opportunity. We are leading in this market and we currently have a market share of 1.7% with the one in the markets that we are in with the 1.7 million, scopes that we are selling. The penetration is slightly higher when we include competition. But our plan is to gradually, continue to grow this market by addressing the niche by niche in the different segments that we are in. And I'm very convinced, that we are going to be successful in delivering on this addressing the market where we see, the highest need for single-use endoscopes. We are also doing this in an environment, with high volatility. And I'd like to highlight, three areas because these have been essential in our strategy work, and how we build that into our strategy. The first one is, around our health systems, which are under pressure by many things but in particular the staff shortages that we see in the hospitals. Our solutions are actually, solutions that help make our workflow in the hospitals more efficient. So we would like to continue to provide solutions that help address the hospitals, with the needs that they have and to help mitigate some of the challenges they have with staff shortages. Also, economic instability is a key challenge we see in the market. And how we take that into our strategy is, by being strongly focused on cost management and by focused on deleveraging as Thomas also have alluded to. The third point here is that, we see higher geopolitical instability than we have seen for a couple of decades. And we therefore, need a different mindset when we look at our supply chain. Our factory in Mexico, does provide more resilience to our business, which we are very happy with. And at the same time, we have decided to exit Russia, and we're almost complete with that process. So, with that I'm happy to provide some of the highlights of our strategy and with our strategy comes an ambition to be the most customer-centric in our field. I'm very excited about the opportunity we have to transform Ambu under this aspiration. And how we also with this can create value for our customers, our employees, and our shareholders. So, our focus remains on strengthening our leading position in single-use endoscopy solutions. Our new strategy also confirms that we want to remain in the four key segments that we are in; pulmonology, urology, ENT, and GI. Innovation remains a key topic and we continue to push for more advancement and also more synergies with our modular approach in innovation. Improving execution is a key topic in our strategy that takes up a lot of focus because this is where we see opportunities to do better, which can strengthen our business. We will continue to be direct commercial present in our key markets as we believe that we have great knowledge in how we sell single-use endoscopes and great customer relationships. But we will, in particular, when it comes to GI, take a more targeted approach focusing on the niche segments that has the highest customer needs. For Anaesthesia and Patient Monitoring, we continue to be in these segments which we have been in for decades and continuing to optimize our value proposition and profitability. Sustainability, organization, and culture are also key themes in our strategy. And then last, but not least, we will, with our strategy, drive long-term revenue growth and steadily increase our profitability through a transformation program that we are also launching as a company. So, with this our strategy is called Zoom in. The reason why we call our strategy Zoom in is because it's all about focus and execution. So, in our strategy, we have identified four areas that we prioritize. The first area is about providing innovative solutions for true customer needs. Innovation is in our DNA. It has been in our DNA for 85 years and it's an area that is important as we continue to drive innovation and growth, rethinking endoscopy with a focused pipeline and market expansion solutions in each segment we compete in. Also we will advance our modular innovation to drive both scale and also to drive fast development as we see demand in the market. The second strong area is around excelling in execution across the full value chain. This is where -- this is an important topic. And when we look at our commercial setup, this is where we focus on the highest value customer segments and geographies to drive progress. This we will do by slightly reducing complexity as well. We will advance our commercial excellence to drive this value efficiently. We will increase our focus on supply chain and improve our gross margin through a strong focus on our COGS and then we will strengthen our operating model where we balance between efficiency and having the autonomy to make decisions that needs to be made close to the customers. Then we want to take leaps in -- towards a sustainable future. Sustainability is a core area of our strategy. And the two key focus areas we have here is around circular products and packaging and it's about responsible operations, something we'll get back to. Lastly, as we embark on a strategy to transform Ambu, our people and culture are critical elements in that journey. And this is also where it's key for us to unlock the potential that we do have in our organization by prioritizing the right culture and prioritizing high engagement and inclusive working environment. We have the opportunity to both attract and develop the best people and this is something that is very close for us to do so. So, delivering on these priorities, we are convinced that we will, in the years to come, deliver both -- deliver strong profitable growth. So, looking at the different segments that we're. In Endoscopy Solutions, which we previously referred to as Visualization, make up half of our revenue today or slightly more than half. We will as mentioned remain in these four segments that we are in today. We will leverage our modular approach. And then our systems, monitors and software, will continue to play a huge role where we see synergies across these four areas and where we see a lot of room to improve in the years to come. Anaesthesia and Patient Monitoring, the last one previously referred to as Patient Monitoring & Diagnostics are areas that we have been in, in decades. It comprises a number of subsegments where we in most of these subsegments are either number two -- number one or number two in our fields. And combined in this, we serve over 100 million patients every year. So we remain in these segments they vary in profitability and our focus is to increase profitability overall and also reduce complexity, partly by taking some of the low-margin nonstrategic products out. So back to Endoscopy Solutions. So we are as mentioned in four major segments. And the segments as you see on the graph here, they are all at very different maturity levels or adoption levels, basically based on when we entered these segments. So pulmonology is the most penetrated area and it was also the area that we went into first where we have basically created a meaningful adoption. Then we have Urology and ENT areas that we went into two, three years ago, where we are starting to see a nice overall uptake in these segments towards single-use. And then we have the GI segment, where we are just getting started. So overall, the drivers of adoption in these segments vary slightly across the different segments, which highlights the importance of understanding, the granular customer dynamics in each of the fields that we operate. Overall there are four main areas that are drivers of penetration across the segments. One is improving workflow and availability with our customers in the hospitals. It's about the health economic benefits that we provide with our products. It's patient safety, reducing the risk for cross-contamination and it's about the rapid technology advancement that we believe that we are delivering with our products. So with that, I'd like to hand over to Bassel to go through the different segments that we're in and provide details on our strategy across the areas that we operate in.
Bassel Rifai: All right. Thank you, Britt. And as Britt shared, our approach in endoscopy is to have a focused level of innovation in the four segments we compete. And in terms of -- before I dive into what that means for us in the future, I also wanted to share that that's been a very successful approach for us in the past. And I wanted to share a short case example of what it means for us when we say we want to create and expand the market by taking a focused approach. And the example comes from pulmonology. And it's an area where in 2009 we launched the world's first single-use endoscope. And when we launched that product it was in a very niche indication and it was just in the operating room. And then basically stepwise over time by continuing to innovate, by continuing to build our direct commercial presence, we were able to expand, so that by the time we launched aScope 4 and aView 2 Advance, now all of a sudden we had a product that had the performance and we have the commercial infrastructure that we could target, not just in niche segment in operating room but a much broader segment in OR and also the ICU. And then we started to see real continued rapid pace of adoption. And now of course, as Britt shared, with aScope 5, we take a step even for them to not just cover the OR and ICU but also cover the Broncho Suite. So it just shows that for Ambu success is about us entering into a segment and then taking a focused approach and an expanding stepwise from there over time. And that allows us to really create and expand the market over many years. So that's an approach that's been successful for us in the past and it's going to be the approach that we take for the future across the four segments where we compete. Now looking to the future, I want to start with pulmonology. And when it comes to pulmonology, I think the main thing is that we are committed to return our pulmonology business to growth. That's a big priority for us. And the idea is that we have two focus areas that are going to allow us to do that. The first one is that we want to grow and defend our position in OR and ICU. And this is a segment that's less than 40% penetrated by single-use today, which means that there's a lot of headroom for growth. It's also a segment where we've allowed competitors to come in and they've come in with more or less let's say me-too products with some small differentiators. And in the face of those two dynamics, we basically have a pathway, which is that we want to build a market-leading portfolio in the OR and ICU. And that's going to include our bronchoscope platforms our aScope 4 and aScope 5. It's going to include VivaSight too, which is our unique solution for one-lung ventilation and it's going to include our next-gen Video Laryngoscope. And all of that is going to be connected around our aView 2 Advance platform. So if you compare that to the situation today, where again we're facing this competition with kind of me-too products. When we launch all these things we will have the undisputed leading portfolio in the OR and ICU. And that combined with our direct commercial presence will put us in a very strong position to grow in these areas. So that's priority number one. And then priority number two for pulmonology is to drive conversion to single-use in the Bronch Suite with aScope 5 and aBox 2. And Britt shared some of the exciting feedback earlier. And I want to add that we're very proud to share the results of the recent study that came out. And it's a study that because the Bronch Suite is an area where interventional pulmonologists are doing very advanced procedures. And up until now it's been almost fully reusable because nobody has been able to meet the performance requirements of these customers. And now with the study, we see that we actually have – on the one hand we show best-in-class performance across all the single-use scopes. And then the other we actually show for the first time a product is performing on par or in some rate cases even superior to reusables in many parameters. And that's a first for kind of single-use endoscopy. It's a pretty important inflection point in the segment. And what it means for us is that all of a sudden we can really unlock the Bronch Suite and that's the feedback we hear from the study. It's also the feedback we hear from our customers in early stages of this commercial launch. They see the image quality, they see the bending performance as being very important to improve patient care in certain segments, where they're trying to reach difficult anatomies or they're trying to deploy valves, which are instruments that can make it more challenging to bend into the lung. So these are areas where our scope is starting to shine and we're actually having a superior outcome – impact on patient outcomes. And that – based on that feedback we're getting pretty confident that it's going to drive adoption in the Bronch Suite. And then if we look at stepping back on pulmonology between the plans to grow in OR and ICU and the plans to expand into the Bronch Suite, we're getting in a strong position to return ourselves to growth in pulmonology. And then if I flip to Urology and ENT. Now for Urology and ENT, these are basically already very attractive growth segments for us. There are segments where we're seeing rapid adoption and the pathway is how do we continue to fuel that. And for Urology, we have three main priorities. Number one is that we want to continue to drive the growth in Cysto. This is a market that we entered into at aScope 4. It was a first product we launched into that market. It's also a market we entered into with no existing commercial presence, no customer relationships. And yet because of the strength of our modular innovation, because we were able to apply learnings from Bronch and ENT to Urology. And because of the strength of our direct sales force in selling single-use endoscopes, we were able to achieve rapid uptake with Cysto. And we see – as Britt shared earlier, we see continued runway for growth with Cysto and we want to build on that with the launch of HD scope and that's going to unlock even more parts of the market including areas like cancer diagnosis, where doctors want the best possible image quality. So that's priority number one for Urology. Number two is that we want to enter the ureteroscopy market. And this is a market which is already starting to transition to single-use today. It's a segment where the scopes are long, thin, flexible. And so the reusable scopes break often, repair costs can run up to $500 per procedure. So single-use is a natural alternative and our approach in this segment is going to be that we launch a high-performing single-use ureteroscope and through that be able to not only expand the market but also take share from existing players. And then our final priority in Urology is to expand the indications, where our products are used. And this is actually a broader kind of approach for Ambu, which is that we want to not just launch outstanding products but we also want to invest in building clinical evidence that unlocks different parts of the market different indications where these products can be used. And in the case of Urology, one of the key areas we want to focus on is PCNL which is an important part of how doctors treat kidney stones. And then if I flip to ENT, this in many ways is similar to Urology where you have a segment that is rapidly converting to single-use and a lot of it is driven by the workflow and availability benefits of single-use. And similar to ENT -- or to Urology, we also have three key priorities. The first one is to continue the commercialization of our aScope 4, especially in the in-patient setting. The second one is to leverage an indication expansion. We actually recently got an indication expansion to the FEES procedure, which is a swallowing test and over one million procedures take place every year. And between the indication expansion and the software upgrades, we've made to help meet some specific customer needs in that segment. Now we can actually target this segment and unlock it for future growth. And then our final priority in ENT is it takes spend into areas outside of the current in-patient offering with a high-resolution scope. And ENT is actually an area where despite the fact that we're seeing very strong growth, we know there are customers who are looking for a product with even better image quality. So when we launch a high-resolution scope, we already know that that's going to be very well received in the market. So then stepping back for Urology and ENT, again, we see these as very attractive growth engines in the past and they're going to continue to be strong growth drivers for us going forward. And then the last area, I want to talk about is GI. And GI is probably the area where we've gotten the most questions as a company and what is your position going to be in GI. And of course, I think us as a leadership team we've also challenged ourselves on that and asked ourselves what approach do we want to take here. And we've come to the conclusion that we are going to continue to create the single-use market in GI and we're going to do it through a much more focused and targeted approach. We came to that conclusion for three important reasons: Number one is it is the largest market with many attractive high-need segments. Number two is, we see a lot of opportunity in this market for single-use. And some of that opportunity is already starting to be validated. So if we look at areas like Cholangio which is already single-use or Gastro where based on the product feedback we're seeing, we're confident that there are high-niche segments we can tap into. And then Duo aware, although we haven't met our product performance requirements for our customers, we also know that there's a high level of enthusiasm, especially for some specific patient segments. So the opportunity is there across many GI segments and that's important for us. And then the third thing is that we believe that we're going to be very well positioned to succeed in GI and to lead the market as it starts to transition because if we execute on our agenda, we're going to be the only company with a full portfolio of GI endoscopes in single-use. And that combined with our direct commercial presence and the relationships we've been building in GI that's going to put us in a very strong position to capture this market as it transitions to single-use. Now that's the kind of situation overall for GI. But of course, GI is composed of four very different segments. And those segments have very different drivers for single-use penetration and we're going to take a very different approach in each of those segments. But I will say that one thing that's common across all four segments is that we're going to be -- we're always going to start with the niche high-need segments and then we're going to build over time. Again, that's been our approach that's been successful in the past in pulmonology and other areas and now we're going to apply that to GI as well. So what does that mean? Well, first of all for Gastro, it means that we're going to continue the targeted launch of our gastroscope and in this area, we've already identified some specific high-need segments, especially GIs and surgeons doing procedures outside of the endoscopy suite. So there is an operating room and ICU, we see a strong level of need for a single-use option. And actually some of the feedback we're getting the enthusiasm for our offering is very positive. And these are also the customers that are giving us some of the best feedback on the performance of our product. So we're going to continue this targeted launch of the gastroscope into these segments outside the GI suite and then of course build up over time from there. And then when it comes to Colon, I mean within GI, this is probably the area where we've gotten the most questions as a company which is are you going to continue in Colon, how much more are you going to invest in Colon, how much more are you going to take? And I actually wanted to share maybe a little bit of our thinking behind Colon because if this was a product that was very early on in the development stage. If we had a high level of technical uncertainty, if we had a lot of investment ahead of us to bring it to market, then in this environment we might have taken a different approach to Colon. We might have said, okay, now it's not the right time it's let's focus our efforts on other parts of the portfolio. But the reality is for Colon that, there has been huge development synergies between the development of our gastroscope and our colonoscope to the point, where actually we're now very close to the finish line with our colonoscope, and we've taken the decision that with a minimal additional investment needed we are going to bring the colonoscope to market. And then in terms of market, I mean, then another question is, what does the market look like for the colonoscope. And in some ways, it's very similar to gastro in the sense that, it's a very high procedure segment, and there are also attractive niches within that. In the case of colon colorectal surgery is a key niche that, we could be targeting. But at the same time, we also know that for Colon, the customers performance requirements for colonoscope are very high. So we've taken the decision that for the colonoscope, we're not going to do an immediate commercial launch. And instead, we're going to focus on a very few centers, and basically share it with them, make it available, get feedback on performance, get feedback on how it can be used, how they can see it fitting into their practice. And then once we have that information, we can potentially expand over time. So this is a way that for Colon, we continue to drive our innovation and advance in this area. But at the same time we sort of like limit, and keep it very compartmentalized in terms of the – any future investments we're going to make in this segment until we see more proof of concept also commercially. And then when we go to Duo, for Duo this is a situation where we've already clearly identified to niche high-need segments. One of them is high-risk ERCP patients. These are patients that are immunocompromised, there are patients where doctors actually want the risk of cross-contamination from an endoscope to be zero. So sterile single-use is a very attractive option. That's niche number one. And then niche number two is workflow improvement. And that basically means, health systems that are struggling with workflow and availability, single-use can again be an attractive option. So with Duo, as Britt shared we're working on our Duo 2.0 which is going to represent a significant improvement versus the 1.5. And then, when it's ready we're going to take a very targeted approach with 2.0 towards these two high-need segments. And then finally with Cholangio. For Cholangio, this is – as a reminder, this is a market that's already transitioned to single-use and for many of the same reasons as Uretero, it is long in flexible scopes that break. So, single East is a good option and our approach here is that, this is an active innovation project where we're going to develop a best-in-class solution. And then once we launch that product, we're going to selectively launch it to both expand the market and also to take share from the existing players. So, now stepping back kind of overall in GI, I think for us what we see is that we've made significant progress in terms of our innovation agenda, with even more exciting things ahead. We have a clear plan which basically begins with a focused launch in high-need segments and then stepwise expansion from there. And basically, with that approach we're confident that, we're going to be in a very strong position to lead in this market as it starts to be created. And maybe, Britt is there anything you want to add on here before I jump on?
Britt Meelby Jensen: No. But I think it is very clear that, this is a high focus – has been a high focus in our strategy to understand this segment. And while we are committed to continue our focus in this segment, at the same time we are also very focused on minimizing our investments in this field making sure we have a strong focus on return on our investments and going slower in this segment to capture the learning's that we have as we penetrate this market and building on the strong customer relationships and relationships with key opinion leaders that we have already established and learning from that. 
Bassel Rifai: Exactly. And then – and just to close things out the final thing, I wanted to share when it comes to our – sorry, when it comes to our endoscopy solutions is our systems. And this is an area that, we used to in the past call display units. And in fact that, was what these products were the first generations really were just display units, which customers plug the endoscopes into these displays, and they could see what they were doing. But since then customers needs have grown significantly. And with that, also our innovation and our capabilities and our platforms has also improved significantly. So that now, the second-gen products we're launching we can really call intelligent display units and then they start to become more like systems. And I mean, just to give two key areas, where we're making improvements. One is around image enhancement and now we're not just launching these products where you can visualize what's happening in the body, but we offer additional algorithms, that help customers better detect vasculature and that can be important for things like understanding what abnormal tissue is. Another key area, where we're making improvements is in hospital connectivity. And this can range from simple things like connecting to the huge range of devices that are in hospitals, things like printers and monitors and pedals and things like that. But it also means connectivity to health care IT systems. And that's an area, where we've also invested a lot. So we can now -- it's not just an endoscope sitting -- system sitting there in the room. It can start to deeply integrate with hospital pack systems for things like image transfer, we start to integrate with other software like Provation [ph] which is an important documentation piece of software that's found in a lot of GI suites. So this is an area that we've started to innovate significantly because we know it's more and more important to our customers. And then, this is also something you can expect us to continue to innovate on in the future. That means rapid innovation on the functionality and capability of these boxes, but also keeping what makes the A Box and AV platform special to our customers, which is the very compact footprint and easy to use. The fact that it has low capital outlay compared to reusable systems and also the fact that it's a very intuitive user interface. So that's what we're going to continue to drive there. And with that, we expect to create more kind of customer stickiness and barriers to entry. So that's not just our kind of broad portfolio of endoscopes, but it's also our endoscopy systems that really add value to our customers. So that's basically what we have planned in terms of our innovation agenda. I mean, in closing for me, I just want to share that, we have a rich pipeline ahead and we have a clear plan to launch these products. It begins with focus on high-need segments. And with that, we think we're very well positioned to execute on the first pillar of our strategy which is to provide true customer solutions to -- or true innovation to address unmet needs for customers. And with that I'll hand it back to Britt to go through the remaining parts of our strategy.
Britt Meelby Jensen: Thank you, Bassel. And I'll continue along the same lines of focus, bringing you on to the next topic that we have, which is about execution and how we excel in execution across the value chain. So this is an area, where we believe, we have opportunities to do better. We have already identified some quick wins and we are starting to embark on that. The four themes I'd like to highlight here is first and foremost, the focus on our go-to-market approach. So, along what Bassel presented about understanding the niches that benefit the most with our product, we want to make sure, that we are set up to gradually expand into these segments. And that we will do by being more disciplined around our geographies that we are in reducing our geographical complexity and also looking at how we can reduce complexity with our portfolio where relevant. The second topic is around commercial best practices. So, we believe, we have opportunities, as we have learned a lot entering into more segments in the past couple of years to really consolidate and see what are the best channels and how is the best approach to reach each of the different customer segments. So we execute better. And there, we have a lot of learnings and best practices globally, that we want to focus on. Pricing is another element under this headline, as we believe there are opportunities for us to optimize our pricing and making sure the prices that we take for our products also reflect the value that we -- that it has for our customers. The third topic is one that we are very focused on and that is about improving our gross margin. So, we are very determined to drive COGS improvement across the different areas of our portfolio. And this will be a key lever to improve our profitability long term. Some of this will also lead to streamlining of our portfolio, where we are basically discontinuing some of our low-margin non-strategic products in our pipeline. Then the fourth topic is around our operating model and strengthening that. So, as I started this strategy update with, we have grown a lot in the past couple of years and our operating model has not fully followed in terms of maturity. So what we will do is that we will embark more on shared services where that makes sense, we will also strengthen some of our processes where we see opportunities to work more efficient as an organization, delivering more value to our customers. So overall we have some topics under the headline of excelling in execution that will both strengthen our opportunities to grow but also to improve our profitability. Moving to the third strategic focus area that we zoom in on and that is sustainability. This is where we want to take leaps towards a more sustainable future. And if we look at what we have done in the past couple of years, we have actually made significant progress and this has also been recognized in some of the sustainability and ESG ratings where we have improved and where we are right now at levels that are higher than our peers in endoscopy. But for us we do not stop there. And our focus is first of the two key areas that we are highlighting, it's around circular products and packaging. We have a strong focus and are working on bioplastics to see how we can bring that more into our products and packaging in the years to come. And then we are also running pilot programs with customers in different countries to also help them in working in partnership with them on waste management on making sure that the products that are used are recycled in a responsible way. So this is a key area that we continue to drive in the years to come. Then the second topic we have under this headline is responsible operations. And we are fully committed to approach net zero emissions as soon as that is realistically possible for Ambu as a company. We will do this in close collaboration with our suppliers and partners and we will stay very close to what's happening in the world around us to make sure that we leverage every opportunity we have to make this happen as fast as we can. So these are areas that we believe are important also as part of delivering on our strategy. And then the last topic that I alluded to of our strategic focus areas that we zoom in on is our culture. We want to bring people together in one shared culture. And when we do things differently and when we're going through a transformation, setting Ambu up for strong growth and profitability, our people and culture are very important elements. So the three key words here is culture, ways of working and talent. We have opportunities to have a more highly engagement in our culture, focusing on diversity and inclusion and also making sure that we are very customer centric in every part of our organization, because we are here to deliver value to our customers and we continue to be very excited about doing that. Then we want to have an environment where people are set up for success and enjoy going to work and this is what makes us both attract and develop the high challenge we have and people who like to come in and make a difference in a company. So these were the four zoom areas in our strategy. And our ambition is to report on progress on a quarterly basis on how we are progressing on the strategy in the period to come. Delivering on these areas is also a strong platform to secure strong profitable growth. We have highlighted focus and execution in our strategy. This also means that we will be more focused in our capital allocation and we will aim to have a higher return on the invested capital, and hereby, maximizing also the value for our shareholders. So we will balance how we see high growth and profitability. But, overall, we have an aspiration to grow long-term sustainably double digit on our revenue. And we have an aspiration to make sure that we have an EBIT margin that continuously trend upwards towards industry levels. So you may ask what is different in this strategy compared to how we have been operating so far. And let me just highlight how our strategy is different in a number of ways. So our prioritization will to a larger extent be driven by granular customer segmentation and targeting than what we have done in the past. Our value proposition will also be much more balanced towards workflow and efficiency with our customers, which we have learned our key decision-making parameters for our customers. Then in terms of product launches, we will be more focused. We will move away from doing 20 new product launches in two years, to fewer but much more dedicated and focused launches going forward. Also our launches will be more focused and more stepwise, as we have elaborated on starting with a niche that truly gets benefits of our products and then expanding from there. We'll be more focused on how we execute and how we are efficient, in how we work and bring our profitability up. And this also means that, we will balance slightly more towards sustainable and profitable growth, coming from a mindset that was a little bit more about growth only. So before I finish and open up for the Q&A, let me summarize with the strategy highlights as you see here. I'm extremely excited with the team to launch this new strategy today. And I strongly believe, that this will transform Ambu under the aspiration to be the most customer-centric in our field. So we are confirming our focus to expand, our leading position in single-use endoscopy, with a continued focus on the four segments that we are in. We are confirming innovation being, a key topic going forward, even though the investment levels are more down to industry levels than where we were in the past year. Our focus on improving execution is going to be strong. We will maintain the direct commercial presence in the key markets. For GI, this will be more targeted, but we will leverage all the customer relationships and knowledge, we have of how to sell single-use endoscopes. We'll sustain our position in Anaesthesia and Patient Monitoring. We highly prioritize sustainability across all areas of the business and we focus on strengthening our culture and way of working. And then, we will with this drive long-term revenue growth and steadily increasing profitability also, with the transformation program that we are launching to deliver on this. So this concludes our presentation, and we are pleased to also invite you here to our capital market event, which we are hosting the 21st of March 2023, at our head office outside Copenhagen. I look forward to meet as many of you, as possible at this event. We will at this event elaborate more on our strategy, zooming more into the different segments. And it's also an opportunity, to see some of our products in real life. So with that, I'll hand over to the operator and open up for the Q&A session. Thank you. 
Operator: [Operator Instructions] We'll take a question from Christian Ryom of Danske Bank [ph].
Unidentified Analyst: Yes. Good morning. And thank you for taking questions. I have -- I'll start with two. So the first one is to the gross margin outlook for next year. Thomas, can you help us with an explanation of the product mix effects that you're talking about in this guidance? Because I think at the very high level, you're guiding that visualization or endoscope solutions, which we typically understood to be higher margin will grow faster than the rest of the group? So that's the first question. And then second question, is to the horizon you're talking about for these new product launches. So you're still talking about quite, a few new product launches Uretero, the Cholangio, Colon, Laryngo, new HD versions of ENT and Cysto. Are these to be understood that these are products that will all launch within the next one or two years, or how should we understand that? Thank you.
Britt Meelby Jensen: Thank you, Christian and I think I should have my two colleagues to answer your questions. Thomas, will you take a go on the gross margin question. 
Thomas Schmidt: Yes, we'll certainly do so. So thank you, Christian for the question. So first and foremost, the gross margin and improving the gross margin, is a high and very key focus of ours. So that will continue throughout. When speaking about and talking about the mix impact. As mentioned, especially around the pulmonology, we do see in the first half of the year aScope 4, the pulmonology business coming down on the back of COVID. Whereas -- so that's one element in terms of that impacts the gross margin. And on the second side of things with the newly launched products that we have launched the margin and the cost of those are lower compared to the pulmonology segment. So that puts the gross margin under pressure. And that's the key so to speak element that impacts our gross margin by this negative approximately two percentage points. So, a bit more than half of that is connected to that.
Britt Meelby Jensen : Yes. So maybe, I can -- maybe I can elaborate on this. So the lower margins that we have are a result of past decisions that we're taking where some of the recently launched products come at a lower margin. So that is if you compare to the aScope 4 as an example. And that's of course a key focus area for us in management to improve that just to make that very clear, because I'm not sure that has been very clear. Then on top of that there's also the element of Mexico and the ramp-up cost that we are experiencing with that. And then simply as others in our industry, the higher input costs are also of course affecting our gross margins. Will you talk about the second question? 
Bassel Rifai : Yes. And Christian in terms of pipeline, yes, I think as you said, we still -- we have a very rich pipeline across all four segments that we're going to be competing. At this point, we're not sharing time lines for our product launches, but I can tell you that we're committed to launch those products fast and also with high quality. So that's the approach we're going to take to those. 
Unidentified Analyst: And maybe if I may just a quick follow-up. So basically the products that you are communicating on for this year that you will be launching is the gastro, the aScope 5 anything beyond that?
Britt Meelby Jensen : We have not. No. Okay. I can take that yes. So basically as we said the aScope 5 and the gastroscope are in launch phase we launched them end of last year. And we have not communicated any further launches for this year. But it is I mean you can expect that there can be products that we bring out, but we will not commit on any time lines, but we'll update you accordingly and in time as we bring new products to market.
Unidentified Analyst: Thank you.
Operator: We'll take our next question from Niels Leth of Carnegie. 
Niels Leth : Yes. Good morning. First question on your continued involvement in the GI business. So given your history and a number of attempts to enter the GI industry, have you defined a kind of stop loss limit for your GI investments for the coming years, or how much are you willing to put into the GI industry? And then a question on your expected contribution from R&D capitalization in 2022, 2023. So should we expect the same amount of R&D net positive effect from R&D capitalization? And then a third question on your exposure to the -- so is it part of your guidance that the UK hospital system is expected to more or less close during the first quarter -- your first quarter of this year? Thank you.
Britt Meelby Jensen : Thanks Niels for those questions. And I think Bassel, do you want to take the first one and then Thomas you can take. 
Bassel Rifai : Sure. Thanks Niels. And the first question was really around like for GI, we defined kind of a stop loss for the segment. And I think what we try to communicate is that in the past what we expected was a very rapid market creation. On the back of that we made huge investments upfront, huge investments in running multiple projects in parallel in our pipeline, huge investments in terms of building a direct commercial sales force and those represented a big challenge for us when the market then wasn't created at the pace we've we expected. So now what we've done is we've right-sized that and instead of saying, we're going to make big high-risk investments upfront. Instead, we're taking this approach of focus high-niche -- niche high-need segments and then build up overtime. The reason we're doing that is because, we see that as a sustainable way to grow -- and profitably grow our business. It's the approach we took in pulmonology. It's the approach we took in Urology and ENT. So now it's the approach we're going to take in GI. How these kind of, targeted investments until we see proof-of-concept and then we expand from there. What we want is basically the GI business as a stand-alone business to be a healthy profitable business just like the rest of our businesses. And I think the encouraging thing is that for Gastro, we're already starting to see a pathway to that because we're -- we have the product in the market and we're starting to see uptake recurring customers. So we think, we're going to be able to start to extrapolate that soon to having a stable GI business. And then, other products will come overtime. And we'll take the same approach to those. Maybe I'll pass it to you talk about R&D capitalization?
Thomas Schmidt: Yeah. Thank you. Yes, so on the R&D capitalization, first and foremost, we will continue as I mentioned also, as I mentioned earlier, continue to invest into R&D. So roughly 9% of our CapEx relating to revenue we'll continue to invest into R&D. That also means, based on previous R&D capitalization that we've done, that we will see a slight increase coming in on the P&L via our depreciation and amortization. But I think it's important to say, that we will investments, but we will still keep it at roughly 9%. It is an important driver of growth that we invest into innovation. And then, I believe, your third question Niels was around U.K. hospital and the close expected during first quarter whether or not we have included that in our guidance. And what I would say to that is, I think it's fair to say and as I also mentioned around our guidance, we do see high external volatility throughout the whole of next year. And that is exactly what I meant also around, the uncertainty that has been shaping up and impacting our guidance. We have reflected that in the guidance not the U.K.-specific close, but we have reflected in our guidance this high volatility, because at this stage of course we don't know how far and how long such an element in the U.K. will last. But it is a transition year for Ambu and with this more global uncertainty and that's what we've reflected in our guidance.
Niels Leth: Can you just remind us, how much is U.K. of your group sales?
Britt Meelby Jensen: Yeah. I think we have not communicated that externally yet, but it is one of the countries in Europe as you would imagine combined with some of the other large geographies.
Niels Leth: All right. Yeah. Okay. Thank you.
Operator: [Operator Instructions] We'll move next to Rickard Anderkrans of Handelsbanken.
Rickard Anderkrans: Yes. Good morning and thank you for taking my question. So could you please, elaborate a little bit more on the non-core product that you intend to discontinue and talk a little bit about the share of group sales there and how we should think about the margin contribution or impact from those initiatives? Thank you.
Thomas Schmidt: Yeah. Hi. Yeah, I can do that also. So first and foremost, streamlining of our portfolio is a key element of driving profitable growth for Ambu. So that's a very important thing in terms of also how we improve profitability and how we also reduce complexity. We have currently identified roughly 2% of our revenue that sits with lower margin products. Now, I won't comment on exactly which products those are, but it's roughly 2% with low margin. And over a period of two years we will be addressing exactly those products and those margins. And that impact is reflected in our financial guidance for 2022 and 2023.
Britt Meelby Jensen: Yes. And then maybe to comment on your question on profitable growth. I mean we do see -- and this is the first group of products we have identified and we do see that as a contributor to profitable growth as we move forward. And we have not specified the exact amount, but that is definitely something we are focused on and we have other products that we are evaluating as well over time. 
Rickard Anderkrans: Thank you. That’s super helpful. That’s all from me. Thank you.
Operator: And we'll take our next question from Yiwei Zhou of SEB.
Yiwei Zhou: Hi Britt and Thomas. Thank you for taking my question. I have a couple of questions here. I do one at a time. And firstly a follow-up question on the gross margin. Could you elaborate a bit more here because you expand the higher input cost -- ramp-up cost in Mexico and product mix, but I guess the Mexico ramp-up cost, you already have this year and also the input cost has also been a drag on the gross margin this year. I mean what is the delta here? I mean you still guiding down further, but on the other, we also see some of the raw material costs have already come down. And could you elaborate more here and just trying to have new comments [ph] there? 
Britt Meelby Jensen: Thanks for the question. Thomas do you want to comment? 
Thomas Schultz: Yes. Yes. So, thank you Yiwei for the question. So, again, our gross margin is impacted for next year by the product mix as we've commented on before where -- yes, so, I think we've commented on that already. And then to your question further impact is coming from increasing cost or input cost and certainly also from further ramp-up in Mexico. Now, Mexico we've gone live with we will continue to further ramp up Mexico, meaning we will move further production lines into Mexico and that's what continues to impact our gross margin for next year. The increased input prices are, of course, also things that we do see continuing. There's still, as we all know, inflation ongoing and also we see a lot of our subcontractors also having increased prices. Freight is -- costs are coming down we've inputted that into our model also. But at the same time, with increased revenue, we also will see an increase in our distribution cost that compensates on that side of things also. So, those are the mix impact into our gross margin. So, again, sales mix, higher inflation, and input prices and also higher costs relating to further ramp-up of our Mexican side.
Bassel Rifai: And Thomas if I can just add one thing which just on the product mix side because we did have sort of like windfall profits during COVID from a aScope 4. And now as we're coming down that represents -- we're coming down on that product. And then Thomas mentioned we're ramping up these new products Gastro and aScope 5, which have a lower contribution margin. Part of that will improve over time because those products aren't at scale yet. So, as we ramp up, we will improve the margin of those products. And then of course, in general, I think it's costs us increased focus for us as a company that we need to strengthen our profitability including initiatives to improve gross profit.
Yiwei Zhou: Okay. Just want to clarify. So, you mentioned the gastroscope and aScope 5 carry a lower gross margin than aScope 4 at the moment.
Britt Meelby Jensen: Yes. 
Yiwei Zhou: It will be improving as it gathers get more scale?
Bassel Rifai: Correct.
Britt Meelby Jensen: Exactly. And I think it's important to highlight here, of course, part of this is scale, but part of it is also -- I mean previous decisions being taken and that is back to the strategy. A key focus for us is to improve product margin -- or gross margin and we have identified areas where we see an opportunity to do that.
Yiwei Zhou: Okay. And now, you talked about the targeted launch. Is it fair to assume the product uptake will be lower than ENT and aScope launch?
Britt Meelby Jensen: Yes, you can say -- I think it's slightly difficult to compare because if you look into these segments, I mean each segment has very different customer dynamics. And as we look into the GI segment, these are much larger segments. So, it is why we are taking a more niche-focused approach. We are not guiding on how fast the ramp-up is. We have also not firmly decided, I mean, how long we stay in one niche before we expand further, but -- because that will just be very much guided by the learnings that we have as we proceed. So I think it's -- one cannot necessarily compare with what we learned in ENT and urology and conclude that the uptake will be lower.
Yiwei Zhou: Okay. Great. And one question on the revenue guidance. How much have you included the Gastro in your guidance for next year?
Britt Meelby Jensen: Yes. I can -- you can take that Thomas.
Thomas Schmidt: Yes. I mean, I think the answer is relatively short. Unfortunately, we won't be guiding on Gastro for next year. So I'll also not comment in terms of how much of the guidance that is.
Yiwei Zhou: Okay. Fair enough. And last question here is on the working capital. It is extremely high level, even higher than last quarter if you -- relative to sales. So how -- what is your expectation? You talked about it will come down. What is your expectation during next year? And when do you expect the inventory level were back to the historic level on, if it possible?
Thomas Schmidt: Yes. So, again -- so, thank you. Again, a key focus of ours is certainly to improve our net working capital. And, therefore, of course, as I mentioned earlier, also to improve our cash flow position. I will not be guiding exactly to what extent that we take down our inventories. But I can say and as mentioned also earlier, it will be reduced and it will certainly be reduced to significant lower levels compared to where we are today. But please, also, do remember that this will of course take a little bit longer, so over the coming periods, we will continue to focus on improving our net working capital including inventories.
Yiwei Zhou: Okay.
Thomas Schmidt: So, we should certainly see lower levels, of course, towards the end of the year. That's clear.
Yiwei Zhou: Okay. Thanks.
Operator: [Operator Instructions] We have a follow-up from Niels Leth of Carnegie.
Niels Leth: Thank you. And I would refer to slide seven in your slide deck illustrating your revenue development on US cystoscope and ENT scope. It appears there is some deceleration to the growth of your otherwise fast-growing cystoscope in the past two quarters. Could you just update us on if KARL STORZ has reentered the cystoscopy market with their reducible cystoscopes and if that would have any effect on your sales? And then, a question to your strategy. And here I would refer to slide 31 in your slide deck, where you talk about your endoscopy systems. Since you break out endoscopy systems as a separate part of your overall endoscopy business, could you talk about if you expect to add more products into your endoscopy systems business? And here I would be thinking of navigation software or tools that work together with your endoscopes? Thank you.
Britt Meelby Jensen: Thanks, Niels, for the questions. I think, Bassel, do you want to take those?
Bassel Rifai: Sure. Yes. So maybe I'll start with -- Thanks Niels. I'll start with the first question on cysto and ENT. And, yes, I can say when you -- of course when you look at the -- those graphs, I think, if you squint, you can sort of see it might be -- you think it might be decelerating. Just we see -- of course, see a little bit more in terms of the underlying dynamics in some of the leading indicators. And I can just say what I shared is that, we saw, for sure, a big bump in Q2 and Q3 -- sorry, especially, Q3 when we had the STORZ recall and that sort of had like a one-off effect. And then, of course, they've started to come back in and some of those customers have reverted back. That was just, I'd say, a transient effect over those six months in Q3 and Q4. But what I also say is that the underlying dynamics of cysto and ENT, when we look at new customers -- the pace of new customers we're bringing on board and rebuys and so forth, it continues to be very healthy. So we don't see a deceleration. In fact, we see that they're going to continue to grow high double digits in 2022-2023. So those are going to continue to be big growth drivers for us this year. And then in terms of systems…
Niels Leth: [indiscernible] is back in the market. 
Thomas Schmidt: Shall I continue? Then in terms of..
Britt Meelby Jensen: Niels has a follow-up. Sorry…
Niels Leth: Could you just remind us if Karl Storz is back in the market? 
Bassel Rifai: I mean, Karl Storz they are back on the market. I mean what I would say is that they had a safety notice that requires them to do certain things. And for some products they were able to replace that with alternatives and then they start to ramp up supply and so forth. So I think it's -- it's never like a binary picture what we saw as many customers who wanted -- took that opportunity to transition to single-use also because it made them more aware of the -- some of the risks of reusables. And then we saw in some cases especially in the smaller clinics where they're very economically focused and they're just doing much simpler levels of disinfection. They migrated back to reusables when those were available again. So that's kind of we see -- we saw it as a say a transient dynamic over the course of those six months but the sort of macro trend of single-use penetration in Cysto we see that continuing very rapidly. And then in terms of endoscopy systems basically we wanted to call that out as a platform because even just as a standalone system we saw it as a strong enabler of and a way to add value to our customers. We saw that more and more they would benefit from when we kind of -- we're exposed to our aBox 2 even compared to some of the reusable endoscope systems they had from the past they actually gave us the feedback that we're kind of taking this product out of the 1990 -- taking the concept out of the 1990s. So the feedback from that has been very positive. And I think what we've realized is that with customers needing more and more functionality on the system side and with the competitive advantages we already have in terms of ease of use and footprint and so forth that can be something that we should further fuel investment in the future. Now beyond that when we talk about additional functionality navigation, AI and so forth that's not something -- obviously we're aware of the kind of market trends and market dynamics in that area and the opportunity to improve kind of patient care. It's not something that we're commenting on specifically in terms of where it sits in our road map. And then in terms of tools, I don't know Britt if you want to share a little bit about I mean I think maybe just to say overall again that's not something that we of course always evaluate is what should our portfolio offering be in Endoscopy. But again it's not something that we are we're focused on today. 
Britt Meelby Jensen: I think -- exactly. And I think just to add on that I think it's important to mention that right now we are focusing the things that you mentioned Niels could be examples of things that we will look into in the future. But I think right now it's-- I mean we have a strong focus on our endoscopes in the different areas and on continuing to expand from some of the things we have and then gradually on the systems to expand our focus. 
Niels Leth: Okay. Thank you.
Operator: [Operator Instructions]. And it appears that we have no further questions at this time. I'd be happy to return the call to our host for any concluding remarks. 
Britt Meelby Jensen: Thank you. And I think my concluding remark would be that on behalf of Ambu and our management, we would like to thank all of you for joining the call this morning. Wishing you a great day and we look forward to first and foremost to execute on our new strategy and to deliver strong value for our customers in the years to come and we will update you on an -- ongoing basis on that. And then also hope to see as many of you as possible in person in our head office in Copenhagen the 21 of March for our capital market event. So we are excited about the future. We hope you are as well after listening to us. Have a great day and thanks again.